Operator: Good day, and welcome to the AES Corporation First Quarter 2020 Financial Review Conference Call. [Operator Instructions].  I would now like to turn the conference over to Ahmed Pasha, Vice President of Investor Relations. Please go ahead.
Ahmed Pasha: Thank you, and good morning, everyone, and welcome to our first quarter 2020 financial review call. Our press release, presentation and financial information are available on our website at aes.com. Today, we will be making forward-looking statements during the call. There are many factors that may cause future results to differ materially from these statements, which are discussed in our most recent 10-K and 10-Q filed with the SEC. Reconciliations between GAAP and non-GAAP financial measures can be found on our website along with the presentation.  Joining me this morning are Andres Gluski, our President and Chief Executive Officer; Gustavo Pimenta, our Chief Financial Officer; and other senior members of our management team.  With that, I will turn the call over to Andres. Andres?
Andrés Gluski: Good morning, everyone, and thank you for joining our first quarter financial review call. Today, I will discuss the current state of our business and our strategic goals going forward. We are well positioned to withstand the effects of the COVID-19 pandemic and are seeing the benefits of our multiyear effort to enhance the resilience of our business. The vast majority of our earnings come from long-term contracted generation, which provides significant protection from the downturn in electricity demand and prices.  Furthermore, our liquidity position is strong. We have no major near-term debt amortizations, and we continue to improve our investment-grade metrics. Our construction projects are progressing on schedule without any supply chain disruptions, and we are on track to grow our renewables backlog and achieve our environmental goals.  The net effect of this is that despite seeing double-digit reductions in demand in some of our markets, we are lowering our earnings guidance for the year by only 5% to a range of $1.32 to $1.42. We are reaffirming our expectations for 2020 parent free cash flow and our longer-term growth projections for both adjusted EPS and current free cash flow. Gustavo will provide an overview of our first quarter financial results, our liquidity and our guidance in more detail.  Turning to Slide 4. Today, I will focus my discussion on the 3 core themes of resilience, sustainable growth and leadership in innovation. Beginning on Slide 5 with the resilience. These are certainly unprecedented times with a global pandemic and a sharp economic downturn, resulting from restrictions on travel, mobility and work. Fortunately, for AES, as you may recall from our last quarterly call, we were closely monitoring the spread of COVID-19 and taking steps to reduce its impact on our business.  We began to implement our plans for all nonessential personnel to work remotely by the first week of March, increased our stocks of fuel and PPE at our plants and work sites and built up cash liquidity at all levels of our portfolio. We also ensured that national and local governments recognize the critical importance of the service we provide and classified our operations as essential, facilitating the movement of personnel to our generation plants, utilities and construction sites.  As a result of all of these early actions, we have continued to deliver our services without any significant impact and have minimized contagion among our people and contractors. To date, only 10 AES people out of a population of 9,000 have tested positive for the virus. And more importantly, none have become seriously ill or hospitalized. Of these, 5 have been deemed recovered and virus-free.  Turning to Slide 6. Our resilience comes not just from our actions to address the crisis but from our fundamental business model. Across our portfolio, we have an average remaining contract life of 14 years. Approximately 70% of our business is long-term contracted generation with the vast majority in U.S. dollars or euros. Nearly all of our offtakers are investment grade, and our contracts are primarily for capacity with our revenue relatively unaffected by the actual energy produced. Thus, this part of our business is very resilient to a downturn in energy prices and demand.  We have an additional 15% of our business, which is generation with shorter-term contracts, which has some modest exposure to spot prices. The remaining 15% of our business is regulated utilities, principally in the U.S., and this is where we have been most impacted by the decrease in demand. We saw a net reduction of around 10% in April, mainly from commercial and industrial customers, and we expect lower demand to continue for several months before recovering by early next year.  We are taking measures to offset the reduction in 2020 earnings, primarily through cost savings that we are realizing from our digital initiatives. For example, investments we have made over the past two years have made it possible for much of our staff to work remotely, including many positions on the operational side. We expect some degree of remote work and the associated benefits to continue even in a post pandemic world. Through these and other initiatives, we expect to deliver additional cost savings of around $50 million this year, which Gustavo will cover in more detail.  Now let me turn to Slide 7 and our second theme, sustainable growth, which continues to be a key area of focus. Despite the current crisis, we remain on track with our current growth projections and ambitions to triple our renewables portfolio by 2024 versus 2016. Our backlog is now 5.3 gigawatts, of which 1.8 gigawatts are currently under construction. Turning to Slide 8. Construction includes the 531 megawatt hydro at Alto Maipo in Chile, which continues to progress according to our prior schedule. Phase 1 is now more than 93% complete. The turbines are in place and only 2.7 miles of tunneling out of a total of 46 remains to complete Phase 1 and start operations early next year. Of our more than 30 renewable projects under construction, only 2 small ones have been affected to date by the COVID-19 lockdown. Both are in upstate New York, where we had to temporarily stop work.  Fortunately, as you may recall from our fourth quarter call, we took very early steps to ensure we had solar PV panels and our balance of plant in-country and at our construction sites as we foresaw potential supply chain bottlenecks in China and Korea. Turning to Slide 9. I am pleased to announce the start of commissioning of the world's most efficient solar project, Andes Solar in Chile, which at 37% has the world's highest capacity factor as a result of using bifacial PV panels and a high solar irradiation, combined with the low temperatures of the Atacama desert.  Building on our innovation in solar, we are bringing a new prefabricated PV design to our projects, starting with an initial 10 megawatts in Chile. We are finalizing a strategic partnership with a company that has a patented design that not only allows for construction to be completed in half the time but can also double the energy output per acre versus today's best-in-class project designs. We expect to expand this solar PV technology to many of our projects in the future to allow for faster construction, more efficient use of land and new C&I offerings.  Regarding new PPA signed, so far this year, we have added approximately 700 megawatts of new renewable PPAs to our backlog, mostly in Chile and the U.S. Thanks to our leadership in innovation, we continue to see mid-teen levered returns on our renewable projects at the stand-alone project level. We are on track to deliver between 2 and 3 gigawatts of new renewable PPAs this year and growth in demand for smaller projects in the U.S. remains especially strong. In Chile and Colombia, our green blend and extend strategy has resulted in 2.5 gigawatts of new PPAs and the construction of 1.6 gigawatts of new renewables.  Now on to Slide 10. In addition to wind and solar, our Energy Storage business also continues to grow rapidly, both through our own projects and through Fluence, our joint venture with Siemens, which sells energy storage systems to third parties. Both aspects of our business are benefiting from an acceleration in demand for battery based systems. Today, about half of our solar bids in the U.S. include an energy storage component. New markets and application also continue to emerge, such as Virginia's 3.1 gigawatt energy storage mandate and Germany's plan to add up to 6 gigawatts to support the transmission network.  Even in the midst of the current crisis, in early April, we signed a 15-year PPA for 100 megawatts of 4-hour duration energy storage in Southern California through sPower. I'm also very proud that we will soon be commissioning the world's first virtual reservoir at the Alfalfal hydro complex just outside Santiago, Chile. This virtual reservoir consists of 10 megawatts of 5-hour batteries, which allow for dispatching the run of the river hydro largely at night when solar power is not available and energy prices are higher. We will be increasing this virtual reservoir to 250 megawatts over the next couple of years, and there are several smaller virtual reservoir projects in late-stage development in the U.S.  Fluence currently has an all-time high of 1.3 gigawatts of energy storage systems under construction, which include some of the largest projects in the world. This year, we will be rolling out our sixth generation energy storage technology platform. It is both factory assembled and modular, and will improve reliability, increase the speed of execution and lower costs.  Through our growth in renewables and energy storage, we continue to make progress towards our ambitious environmental goals. As you can see on Slide 11, we remain committed to reducing our coal generation to less than 30% of our gigawatt hours by the end of this year, which will make us compliant with ESG standards set by Norges Bank, among other institutions. We expect to realize this target through the continued sale and decommissioning of coal plants, along with the execution of our extensive backlog of renewable projects.  Finally, turning to our leadership and innovation on Slide 12. We continue to move forward on a number of innovative solutions that we see as highly relevant for the long-term future of the industry. One example is Uplight, which, as a reminder, works with more than 80 electric and gas utilities in the U.S., reaching more than 100 million households and businesses, providing a suite of digital solutions.  We expect revenue growth of 30% this year, fueled in part by utilities' desire to improve customers' experiences in a capital-efficient digital way. Another example of our innovation is our partnership with Google, which is progressing well. We continue to make headway on a number of initiatives that we will be in a position to announce in the near future.  Now I would like to pass the call to Gustavo Pimenta, our CFO, so he can provide more color on our results, debt profile and guidance.
Gustavo Pimenta: Thank you, Andres. Today, I will cover our financial results, credit profile and capital allocation. I will conclude by addressing the impact of COVID-19 on our guidance for this year and expectations through 2022. In the first quarter, we made good progress on our key financial metrics. As shown on Slide 14, adjusted EPS was $0.29 versus $0.28 in Q1 2019, in line with our expectations. We benefited from higher contributions from the MCAC SBU, largely due to improved availability and hydrology in Panama as well as lower effective tax rate. These positive drivers were partially offset by the reversion to prior rates at DPL in Ohio and mild weather at our regulated utilities in the U.S.  Turning to Slide 15. Adjusted pretax contribution, or PTC, was $250 million for the quarter, a decrease of $22 million versus the first quarter of 2019. I'll cover our results in more detail over the next four slides, beginning on Slide 16. In the U.S. and Utilities SBU, lower PTC reflects the reversion to ESP 1 rates at DPL as well as mild weather at both DPL and IPL. These impacts were partially offset by contributions from new renewable projects. At our South America SBU, higher PTC was largely driven by lower interest expense and realized FX gains in Chile, partially offset by a planned major outage at our hydro plant in Colombia as part of a larger project to extend its useful life. Higher PTC at our MCAC SBU reflects the return to operations at our Sanginel hydro plant in Panama, following an extended major outage in 2019, as well as improved availability at our Colon plant. We also benefited from improved hydrology in Panama following a very dry year in 2019.  Finally, in Eurasia. Lower results primarily reflect the sale of our business in the United Kingdom. Before moving on, I want to provide an update on the DP&L in Ohio on Slide '20. As we discussed on our fourth quarter call, after reverting to previous ESP 1 rates, the DP&L was required to pass certain regulatory tasks, including the significantly excessive earnings test, or SEET. In April, DP&L began this process by filing an application with the commission. There is a comment period set for July and potential hearing, if needed, set for October. A final ruling is expected by early 2021. We feel good about our ability to best this test and maintain ESP 1 rates.  As we have said in the past, AES continues to be fully committed to the DP&L. We are now planning to invest approximately $900 million in its grid over the next 4 years, including base distribution, transmission and its market investments, which will lead to low double-digit rate base growth through 2023. To that end, AES plans to invest $300 million of new equity in the DP&L, half of it this year and the other half in 2021. These investments will allow DP&L to continue to provide safe and reliable service, while materially improving the experience we deliver to our customers and preserving very competitive rates.  Now turning to our credit profile on Slide '21. As we discussed on our fourth quarter call, between 2011 and 2019, we reduced our parent debt by $3.1 billion, which is about 50%. At year-end, our parent leverage was 3.7x and our FFO to debt was 21%, comfortably within the investment-grade threshold of 4x and 20%, respectively. Currently, we have $800 million of borrowings under the revolver, roughly half of which was drawn as precautionary measure to reinforce our cash position.  We expected to end the year with a 0 revolver balance and credit metrics that are even stronger than in 2019. We are also maintaining our regular dialogue with the rating agencies and continue to be on track to receive our second investment-grade rating. While the fundamental credit strength of AES remains unchanged, given the current macro environment, we believe the timing of this upgrade is now more likely to be closer to year-end.  Moving on to liquidity on Slide 22. In times of uncertainty, we recognize that cash is king. To that end, we are in the strongest financial position of our history. We have $3.3 billion in available liquidity, 2/3 of which is in cash. This is more than sufficient to meet any unforeseen needs over the remainder of the year.  Turning to our receivables on Slide 23, which have remained stable over the last few years. We have been monitoring our receivables very closely to ensure they are within the 45- to 60-day grace period allowed under our contracts. And so far, through April, they are in line. It is worthwhile to mention that in a few of our markets, governments have declared a payment moratorium for certain residential utility clients as the lockdown is in place. While we are mostly removed from this impact as a generator, this could create some additional working capital needs at certain businesses. To that end, we are working with multilateral organizations, such as the Inter-American Development Bank to create mechanism for securitizing receivables in these markets.  Now turning to our refinancing needs in 2020 on Slide 24. As you may know, we have been proactively strengthening our debt maturity profile. In fact, just last year, we executed more than $5 billion in liability management across our portfolio. As a result, we have only $300 million of debt to be refinanced for the remainder of the year, most of which is at our U.S. utilities. We are pleased to see investor interest in the $407 million IPALCO refinanced we recently completed, with the deal being 5x oversubscribed, reducing our refinancing needs to just over $300 million for the remainder of the year.  Now to 2020 parent capital allocation on Slide 25. Beginning on the left-hand side, sources reflect $1.4 billion of total discretionary cash, which is largely consistent with our previous disclosure. Moving to uses on the right-hand side. Including the 5% dividend increase we announced in December, we'll be returning $381 million to shareholders this year. We do not plan any additional debt reduction beyond repayment of the temporary drawings on our revolver, which was $180 million at the end of 2019.  Our credit metrics are strong and will continue to improve on the strength of our cash flow alone. And we plan to invest $565 million in our subsidiaries, including our equity for the Southland repowering, our renewables backlog and the $150 million investment in grid modernization at DPL this year. This leave us with up to $452 million to be allocated. The amount is largely a function of the asset sales we plan to close this year. The use of this cash may include investment in AES Gener, Green Blend & Extend strategy, as we discussed on our last call. The timing of this investment is dependent on AES Gener's funding needs, so it may be later this year or early next year.  Next, moving to our capital allocation from 2020 through 2022, beginning on Slide 26. We continue to expect our portfolio to generate $3.4 billion in discretionary cash, 3/4 of this is expected to be generated from parent free cash flow, with the remaining $900 million coming from asset sale proceeds.  Turning to the uses of this discretionary cash on Slide 27. Roughly, 1/3 of this cash will be allocated to shareholder dividends. Looking forward, subject to annual review by the Board, we continue to expect to increase the dividend by 4% to 6% per year, in line with the industry average. We are also expecting to use $1.9 billion to invest in our backlog, new project and PPAs, T&D investments at IPL, the partial funding of our Vietnam LNG project and the investment in AES Gener, I just discussed. This $1.9 billion also includes the $300 million infrastructure investment in DP&L, which is incremental to our last call. Once completed, these projects will contribute to our growth through 2022 and beyond.  Finally, turning to our guidance and the impact of COVID-19 on Slide 28. As Andres mentioned, AES is well positioned to weather this storm due to the actions we have taken over the last several years to improve the resilience of our portfolio. So let me start first with the impact from commodities and FX.  Despite significant volatility in both markets, we are expecting an impact of only $0.03. This is because today, our business is mostly contracted and denominated in U.S. dollars, materially reducing our exposure. We are also forecasting a $0.02 impact due to a higher interest expense as a result of drawing on our revolving credit facilities to reinforce our liquidity. Like many other companies in our sector, we are also seeing an impact on demand, primarily at our regulated utilities, including IPL and DPL, where we do not currently benefit from the coupling protection. In April, we saw C&I demand decline in the mid-teens at both businesses, with a partial offset of about 6% from an increased residential demand, where we have better margins.  Internationally, demand has dropped 5% to 15% in our key markets. But again, in those markets, our model is mostly based on take-or-pay contracts or tolling agreements with limited exposure to demand. The impact from lower demand across our portfolio is expected to be $0.07 in 2020.  Although projecting future load, GDP recovery is very challenging in this unprecedented times, we are currently assuming demand will have an extended U-shaped recovery with a mid-teens average decline across our portfolio in the second quarter, high single digits in the third quarter and low single digits in the fourth quarter, not returning to precrisis levels until next year. As a reference, and assuming our current geographic mix, a 1% change in the year to go demand translates into an approximately $0.01 impact on our full year earnings.  We have also been working very hard on potential levers to offset this impact and are expecting an incremental cost savings in the year of about $0.05. As Andres mentioned, most of these savings are coming from our digital and laser-focused cost control initiatives. This includes reduced maintenance and lower fixed costs and G&A.  Turning to Slide 29. As a result, we are reducing the midpoint of our guidance by 5% or $0.07 with a new range of $1.32 to $1.42. On the parent free cash flow side, we are not seeing an impact versus our previously communicated goal of $725 million to $775 million as a result of the strength and diversification of our portfolio. We are also reaffirming our 7% to 9% average annual growth rate through 2022. Although it is disappointing to revise our adjusted EPS guidance for the year, the limited impact we are seeing in the midst of an unprecedented global crisis, illustrates the current strength of our portfolio and balance sheet.  With that, I'll turn the call back over to Andres.
Andrés Gluski: Thank you, Gustavo. Before we take your questions, let me summarize today's call. The fundamentals of our business remain strong, and our portfolio of largely long-term contracted generation is resilient in the current pandemic and related economic downturn. Therefore, we remain on track to achieve our strategic goals of greening our portfolio, leading in new technologies and attaining a second investment-grade rating. We have already taken steps this year to strengthen our liquidity and further reduce costs to mitigate the impact on earnings from decreases in our sales.  Although we expect a 5% reduction in this year's earnings, we are reaffirming our 2020 parent free cash flow and longer-term growth rates in earnings, cash and dividends. We expect to generate $3.4 billion of discretionary cash through 2022, which we will invest to continue to deliver double-digit returns to our shareholders.  And finally, I would like to thank the people of AES, who through their discipline and hard work are ensuring safe, reliable and affordable energy in all of the markets we serve.  Operator, I now would like to open the line for questions.
Operator: [Operator Instructions]. And our first question will come from Ryan Greenwald with Bank of America.
Unidentified Analyst: So maybe if we can just start with asset sales. It looks like Jordan through late last month. So if you kind of just talk about your commitment there and you're confidence to get out of the sales on those in here?
Andrés Gluski: Yes. Look, our asset sales continue to progress. In the specific case of Jordan, I don't think is as binary as you described. So we remain confident of closing a number of sales this year, and there's continued interest in those assets, and we're making progress. I would add that we're really not depending this year for any asset sales to fund our growth. So we remain confident. We think that we'll close a number of sales. There's interest. And of course, we don't talk about them until they're actually completed.
Unidentified Analyst: Got it. Fair enough. And then I appreciate all the commentary around demand trends and sensitivities. But could you just allude a little more to any latitude you might have under a more severe protracted scenario? I know you kind of alluded to $50 million in additional savings already?
Andrés Gluski: Yes. So first, I want to be clear that we're trying to be as transparent as possible. So as Gustavo described, what we're seeing is, quite frankly, continued reduction in demand, lower demand for the remainder of the year. So most severe in the second quarter. And then you have a single-digit -- high single-digit decline in the third quarter and lower single-digit decline in the fourth, and only recovering in the first quarter of next year. So that's our assumption. So that really would is consistent with a U-shaped recovery or even a double U-shaped recovery.  If things are more severe, we are in a resilient case. And of course, we have more latitude on different levers that we can pull. I would add that because what we did very early on was increase our liquidity, we have about $0.02 of having that additional liquidity on hand. But I think that was the right thing to do given that there was a lot of uncertainty.  So we have a very good track record of cost controls and reductions. And I think that, again, we will react given to how we see the situation evolving. Now we did mention $0.05 this year, mostly from our digital initiatives. And I think that we have learned how to work remotely. And there are more digital tools that we can implement, and we expect to -- that these savings will continue into next year. So we have some continued additional upside because that's really not in next year's numbers.
Unidentified Analyst: Got it. And then just lastly, the interest capitalization that you guys did at Alto Maipo, is that included in adjusted EPS?
Andrés Gluski: It is. It is included in the adjusted EPS.
Unidentified Analyst: And what was kind of the thinking there?
Andrés Gluski: No, that's just an adjustment based on the history of the project. We've adjusted this year as the team refined the calculation. So it impacted Q1 this year.
Operator: Out next question will come from Charles Fishman of Morningstar.
Charles Fishman: Andres, you mentioned a 10% reduction in demand in April at the U.S. utilities, was that weather normalized?
Andrés Gluski: Yes, that's weather normalized.
Charles Fishman: Okay. And then earlier this week or it might have been late last week, there was an article in The Wall Street Journal about the impact of the pandemic in Brazil. And it was -- looked pretty severe. Are you noticing -- obviously, you got boots on the ground in there. Are you noticing anything? Is there any color you can add? You've got a significant interest in Tiete? You've got other solar projects in Brazil and maybe just expand that to Argentina as well.
Andrés Gluski: Sure. So let's take maybe sort of the Latin American region. So first, the reaction there will be different, perhaps by country, but it's also somewhat different than the developed countries. So there's a number of things. First, in general, they were quite quick lock down. Brazil was an exception to that and Mexico. But in most countries, the lockdown was quite severe and quite early.  Second, they will be lifting these restrictions. But in general, the pandemic has been less severe in those countries than it has in the developed world. What we do know about the pandemic is that the, quite frankly, biggest drivers are age. And the second is obesity rates. So when you think of age, a lot of these countries have an average age of 30, which is very different from an average age of almost 50 in some of the developed countries. So the pandemic will have a different effect there.  So I'd say the main difference is how much fiscal stimulus can they apply to react to that. So what we're seeing is -- again, it varies by country, but some of the smaller countries have had pretty aggressive fiscal stimulus. And they have gone out and basically assured the liquidity in countries like Panama, for example, have assured the liquidity on hand.  And then Gustav also mentioned that we have worked with the -- even though we're not in most cases, not directly affected because it's more at the distribution company level, but we've also been working with multilateral institutions to have windows to a discount accounts receivable. But the vast bulk of our clients are multinationals, investment-grade multinationals in these countries.  So taking a specific case of Brazil, I mean, as of yet, we have -- it's in one of those countries in the range that Gustavo talked about, between sort of 5% to 15% of our key countries. In Brazil, it's different very much state to state. Brazil is 1 of the countries where we don't have the long-term contracts. They tend to be shorter-term contracts. So there has been some effect there in Brazil, and it's also the 1 of the ones that we have in local currency. Brazil is obviously 1 that's been affected.  What is our feeling about it? I think, again, in general, these countries will open up. The effects of the pandemic will be somewhat different because of the demographics of it. Personally, I think that 1 of the things to watch is commodity prices. Because that will maybe even have a bigger effect than some of the shutdowns, given the large informal sectors that these countries have.  You mentioned Argentina. Argentina is doing very well on the shutdown in terms of its few cases, very controlled cases. And I would say that the main thing to watch in Argentina is debt refinancing or debt restructuring, let's say, that they're undergoing now. You will notice that our parent free cash flow is unchanged, but we have a decrease in earnings. One of the -- that's reflecting in part Argentina, where you've had significant devaluations. And you've had some degradation of our tariffs. But we weren't expecting to get any dividends out of it.  One of the other businesses affected was the P&L, for example, where we don't expect any dividend. So that's -- I just wanted to explain why our cash remains unchanged and we're seeing a decrease in dividend. So regarding Latin America, in general, I'm pleased by the reaction of a lot of countries. The populations have been very supportive of their governments in that respect. And given the different demographics, it will evolve differently. So I do expect them to start opening up. Depends on the country. But later on this month and certainly by June. And the -- again, the reaction of a younger population will be different.
Charles Fishman: Okay. Andres, that's very helpful. Just 1 final question on DP&L. The $300 million incremental investment over the next couple of years. Is that dependent on the resolution of the earnings test or any other regulatory things you need to put in place before you make that investment announcement?
Andrés Gluski: So the first 150 -- the answer is no for the C test because we feel pretty good about it. Our average ROE filed is below 10% and our recommended threshold is around 16%. So we feel good about that one. But we are discussing an acceleration of our smart grid plan. Remember, we had filed for a smart grid plan 2 years ago, and we are now resuming that conversation. So we're expecting to have the approval to fund the second $150 million, and that's going to come as we get more clarity around this market approval.
Operator: [Operator Instructions]. And our next Richard Rosen with Columbia [ph].
Unidentified Analyst: Yes. How is it that, that expectations for new renewable signings should be thought of and financing thereof? Should there be more issues in getting financing going forward?
Andrés Gluski: Let me see if I understood the question. In terms of how we are proceeding with our renewables as we were before. We are getting project financing. We are seeing perhaps some areas be stronger than other areas. As I said, smaller projects in the states, we see demand particularly strong. At this point, about -- if you look at our renewables about 1 quarter is related to energy storage, and we see demand there very strong.  So I guess the question is, we basically see demand for like energy storage projects and renewables, especially for utilities is very strong. We have the green blend and extend angle in Latin America, and that remains strong for large, especially mining offtakers.
Unidentified Analyst: Your goal has been, what, 2 to 3 gigawatts a year. Is that still a reasonable expectation?
Andrés Gluski: Yes, absolutely. And if you look at our run rate for the first trimester, it was 700 megawatts. So that's, quite frankly, almost on the button of what we were doing last year.
Unidentified Analyst: Well, the world changed between Q1 and Q2, which is why -- but you're keeping that expectation. That's really fantastic. Okay. That's it. And stay safe.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ahmed Pasha for any closing remarks. Please go ahead, sir.
Ahmed Pasha: Thank you, everybody, for joining us on today's call. As always, the IR team will be available to answer any follow-up questions you may have. Thank you, and stay safe. Bye-bye. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.